Operator: Hello, everyone, and thank you for joining us for Marti's Full Year 2023 Conference Call. Before we begin, I would like to mention that today's presentation and earnings release are available on Marti's investor relations website at ir.marti.tech, where you can also find links to our SEC filings, along with other information about Marti. Joining me on the call today are Alper Oktem, Marti's Founder and CEO; and Cankut Durgun, Marti's Co-Founder and President. Before we begin, I'd like to remind everyone that the statements made on this call, as well as the presentation and earnings release contain forward-looking statements regarding our financial outlook, business plans and objectives, and other future events and developments, including statements about the market potential of our products and revenues of our products and our goals and strategies. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties include those described in the company's earnings release and other filings with the SEC and speaks only as of today's date. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures, which should be considered in addition to and not as a substitute for our GAAP results. We use these non-GAAP measures in managing the business and believe they provide useful information for our investors. Reconciliation of the non-GAAP measures to the corresponding GAAP measures, where appropriate, can be found in the earnings presentation available on our website, as well as our earnings release and our filings with the SEC. With that, I will turn it over to Alper.
Oguz Alper Oktem: Well, thank you. I'm Alper, Marti's Founder and CEO. Marti is the mobility super app of Türkiye. We offer six services over our app, including car-hailing, motorcycle-hailing, taxi-hailing marketplaces, and owned and operated e-bike, e-scooter, and e-moped rental services. Our car-hailing, motorcycle-hailing, and taxi-hailing marketplaces are a part of our ride-hailing operation segment and our e-bike, e-scooter, and e-moped rental services are a part of our two-wheeled electric vehicle operating segment. We are the number one urban mobility app on both iOS and Android App Store in Türkiye. We are the only car-hailing and motorcycle-hailing provider in the country, and we currently have 59% market share in our two-wheeled electric vehicle operating segment. We have served over 77 million rides to over 4.9 million unique riders since our launch and we've completed full year 2023 with $20 million of net revenue generated from our two-wheeled electric vehicle segment. This is in line with our $20.1 million forecast for 2023. On July 11th, following the completion of the first half of 2023, we completed our business combination with Galata and listed on New York Stock Exchange American. We trade under the tickle symbol MRT. In 2023, we established our ride-hailing marketplace as a new operating segment. Our ride-hailing service connects riders with car, motorcycle, and taxi drivers. We currently do not enable online payments for our service on the app, and we do not charge a commission for the service. The service, which was launched as a pilot in October 2022, achieved successful initial results, causing us to establish it as a distinct operating segment in 2023. As we plan to continue investing in the service, we invested $13 million in the service in the first 15 months from its launch in October 2022, through the end of December 2023. In return, our number of riders grew over 300% over the past six months, from 126 -- 124,000 riders at the end of June 2023 to over 498,000 by the end of 2023. Our number of registered drivers grew over 160% from over 40,000 to over 106,000 registered drivers during the same period. The fast growth and large scale that we have achieved in our base of riders and registered drivers relative to the estimated capital outlays that we have made in our ride hailing business reflect our commitment to capital efficient growth. Of our over 106,000 registered drivers, over 88,000 are in Turkey’s largest city, Istanbul. This is in contrast to less than 20,000 taxi drivers serving the city today. The taxi market in Turkey is estimated to have $9 billion to $12 billion of market size. We are continuing to invest in the cost-efficient growth of our ride-hailing service in 2024 and aim to reach 850,000 riders and 155,000 registered drivers by the end of June 2024. In our two-wheeled electric vehicle business consisting of owned and operated e-bikes, e-scooters, and e-mopeds, we focused on operational efficiency throughout 2023. We increased our daily average vehicles deployed from 33,000 in 2022 to 35,000 in 2023 through a combination of deploying 4,000 new e-mopeds and ensuring that a greater share of our fleet is available for rent on the field on a daily basis. We increased our fleet availability by reducing the downtime of our vehicles by performing faster battery swaps on the field and taking faster repair and maintenance actions. While increasing our availability, we also took several profitability-enhancing measures. First, we ceased operations in lower-performing cities and relocated the vehicles to higher-performing cities. The cities where we ceased operations consisted of Adana, Bursa, Eskisehir, Gaziantep, Hatay, Isparta, Samsun, Tekirdag, and Yalova, collectively accounted for only 7% of our total net revenue, but doubled that share of 14% of our total variable operating costs over the past 12 months of operational performance. We therefore believe that this action will increase profitability to our operations. Secondly, we established a refurbished spare part usage system for both mechanical and electronic parts, thereby reducing repair and maintenance costs. And third, we've implemented a field operations productivity enhancement project to increase the number of vehicle service per personnel and per operational logistics plan. We performed these efficiency enhancing projects while maintaining our historical theft and vandalism rate to less than 0.1% of our fleet on a monthly basis. We're continuing to focus on operational efficiency in our two-wheeled electrical vehicle business in 2024. As a part of these efforts, in February, we completed the acquisition of all the intellectual property and software assets of Zoba, the leading AI-powered software as a service platform offering dynamic fleet optimization algorithms for two-wheeled electric vehicle operators. Zoba dynamically optimizes where vehicles are deployed and when operational tasks such as battery swaps, rebalances and pickups occurred to maximize ridership and minimize vehicle operational inefficiencies. The acquisition follows a pilot project which we completed with Zoba in October and November 2023, in which the use of Zoba software to optimize our vehicle deployment locations increased ridership of Marti vehicles and had a positive contribution to our general profitability. Pricing was also an important focus area for us in 2023. We responded to 46% inflation in Turkey and 54% currency depreciation of the Turkish Lira relative to the dollar from Q1 to Q4 of 2023, while increasing our prices by 58% in Turkish Lira terms during this time period. Our net revenue per ride in US dollars increased 43% from $0.88 in 2022 to $1.25 in 2023. As a result of price increase in excess of inflation and currency depreciation in our operational efficiency measures, our pre-depreciation contribution profit per ride increased 48% from $0.22 in 2022 to $0.33 in 2023. Our pricing actions partially offset the 46% year-over-year decline of our average daily rides per vehicles produced by elevated inflation, adverse impact, and on purchasing power. Turkey had a rough year last year. As a result, our 2023 net revenue of $20 million came in 20% lower than our net revenue of $25 million in 2022. Throughout 2023, we believe the behavior of our riders continue to support our decision to offer multiple transportation modalities over a single app. We believe, and the data shows that this multimodal offering is aligned with rider preferences. 72% of our e-bike riders, 85% of our e-moped riders, 57% of our car-hailing riders, and 84% of our motorcycle-hailing riders use these modalities after previously being introduced to Marti by using another Marti modality. Our existing modalities serve as an excellent cost-free rider acquisition channel for our new modalities. Furthermore, 50% of our e-bike riders, 64% of our e-moped riders, and 32% of our car-hailing riders, and 64% of our motorcycle-hailing riders subsequently used another Marti modality after their first e-bike, e-moped, car-hailing or motorcycle-hailing rides, respectively. These data points show that an overwhelming rider preference for multimodal transportation services exists. Multimodal riders also create economic benefits for Marti. Rides per rider is 5.3 times higher and revenue per rider is 5.3 times higher for multimodal riders than our single modality riders. These [indiscernible] force our decision to invest in the balanced growth of our multimodal services. As we invested in the growth of our two-wheel electric vehicle operations from our launch in 2019 through 2022, we are currently investing in the growth of our ride-hailing business, so as to have a balanced and sufficient availability of each of these services for riders. I'd now like to turn it over to my partner, Cankut, to present our financials.
Cankut Durgun: Thank you, Alper. Looking at our income statement for our two-wheel electric vehicle operating segment, we see $20 million of revenue in 2023. This is down from $25 million in 2022. It's important to note that revenue for our two-wheel electric vehicle service is the same as consolidated revenue for the company, given that we currently do not charge for our ride-hailing service. My partner Alper reviewed the evolution of the input parameters of revenue, including average daily vehicles deployed, average daily rides per vehicle, and average revenue per ride earlier in the presentation. Our cost of revenue fell 20% from $18.5 million in 2022 to $14.8 million in 2023. This was driven by our transfer of vehicles from cities with higher operating costs to cities with lower operating costs, efficiencies in our logistics staff and vehicle counts, and our increasing reliance on refurbished electronic and spare parts. Driven by pre-listing advisory expenses and public company expenses, our general and administrative costs increased 29% from $11.6 million in 2022 to $14.9 million in 2023. As a result, our adjusted EBITDA came in at negative $6.7 million for 2023, up from negative $2.5 million in 2022. Our second half, 2023 performance was significantly better than our first half performance due to several reasons. As a result of improved seasonality in the third quarter, producing higher average daily rides per vehicle, and our pricing action, our revenue increased 11% from $9.5 million in the first half of the year to $10.5 million in the second half. Our operational efficiency measures, including vehicle relocation, logistics staff and vehicle count efficiency, and increasing reliance on refurbished spare parts, which we further focused on in the second half of the year, reduced our cost of revenue to 31% from $8.7 million to $6 million. While our general and administrative expenses increased 34% from $6.4 million to $8.5 million in the second half, again driven primarily by public company expenses, our second half adjusted EBITDA of negative $2 million was 57% higher than our first half adjusted EBITDA of negative $4.7 million. In our ride-hailing operating segment, which is the focus of the company moving forward, we completed 2023 with $11.7 million of expenses. This corresponds to less than $1 million of monthly average expenses and demonstrates our commitment to capital efficient growth in a business segment where global benchmarks have proven both scale and profitability at the expense of capital efficient growth. Our expenses included $1 million of variable expenses incurred to service rides, including the cost of service, mapping and navigation services, call center costs for driver onboarding, customer support costs, and other variable costs. In addition, we incurred $4.8 million of general and administrative costs as we built our team to support the increasing scale of our ride-hailing segment. The growth of our team was driven by roles in the management, product, software, data, government relations, and marketing functions. Finally, we invested $6.4 million in marketing to build awareness for our ride-hailing service and on targeted driver and rider acquisition and retention campaigns. Our marketing activities included both online and offline campaigns and cross promotions offered to our ride-hailing riders for use of our two-wheeled electric vehicle service. We also subsidized $0.5 million of driver fines during the year, which we view as a marketing activity as a result of its contribution to driver acquisition and retention. The pace of our investments in ride-hailing grew during the year, in line with the increasing scale and promise of the segment. While we spent $4.2 million on the segment in the first half of the year, the figure increased to $7.4 million in the second half. In aggregate, our consolidated financial finished 2023 with $20 million of revenue and negative $17.7 million of adjusted EBITDA. This was in line with our forecasts of $20.1 million of revenue and negative $17.8 million of adjusted EBITDA. Our cash and cash equivalent at the end of the year stood at $19.4 million. Together with our investment strategy where we're investing in the fast and capital efficient growth of our ride-hailing business, we're presenting revenue and adjusted EBITDA guidance for 2024. Our revenue forecast is $16.6 million, once again coming fully from our two-wheeled electric vehicle operation, and our EBITDA forecast is negative $22.5 million. These forecasts reflect the investments that we're making in our ride-hailing business in the absence of charging the commission for our service, so that's to prioritized growth of the service, and the absence of any fleet size expansion or replacement investment as vehicles are retired from our two-wheel electric vehicle fleet. Finally, market share repurchase program, which we announced in January 2024, and which will enable us to purchase up to $2.5 million of our common shares through July 2024 remains ongoing. We thank you for participating today and listening to our performance and future investment plans. We'd like to open the floor to any questions you may have.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Thank you. And our first question is from the line of [Brett Novak] (ph) with Cantor Fitzgerald. Please proceed with your questions.
Thomas Shemia: Hi, guys. This is Tommy Shemia on for Brett. Congrats on the meaningful expansion in riders and drivers for the ride hailing segment. It seems like you closed out the year pretty strong there. I guess, on that, we're seeing meaningful expansion on users coming to the Marti platform for ride-hailing. And then with the announcement of the taxi-hailing service towards the latter half of the year there. I guess, how much of that influx of user generation and demand to the Marti platform was from the taxi-hailing service versus your traditional ride-hailing service that you guys offer?
Oguz Alper Oktem: The taxi-hailing service is relatively new. We launched it as a pilot, maybe a little bit more than a month ago. So most of the growth that you see is coming from our ride-hailing segment, specifically from the car ride-hailing segment, because motorcycle ride hailing was slow over the winter as winter months sort of like starts in the beginning of October in Turkey, we've seen a decline in motorcycle ride-hailing trips and we've seen an increase in car ride-hailing trips. So most of the growth you see, it comes from the traditional car ride-hailing trips. And taxi is just a new segment for us.
Thomas Shemia: Awesome. And then, one more, if I may. I guess, the revenue guide for 2024 doesn't factor in the ride-hailing revenue as you guys laid out, but I guess is there any update to the development on when you might start charging fees for this service or are you still in the phase of just expanding users on the platform? Thank you.
Oguz Alper Oktem: Great question. It's something we discuss regularly. Right now, our focus is on the acquisition side of things. We are very much so focused on acquiring the marginal customer for as cheap as possible, that's our goal. And currently monetizing the platform and asking for money from drivers or from users would hinder that sort of growth. And given the fact that it is a proven business model that is profitable all around the world, cost-effective growth is key to expansion. And that's why right now we don't think about monetizing, but we will focus solely on acquiring those drivers and those riders to be able to have the largest platform we possibly could when we decide to monetize it.
Thomas Shemia: Awesome. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. It appears we have no additional questions. I will now turn the floor back to management for any further remarks.
Oguz Alper Oktem: Thank you very much for joining today. We will continue sharing quarterly targets for our ride-hailing business moving forward, starting with the end of Q2 targets that we shared in this presentation, but also continuing in Q3 and Q4. And we're excited about the prospects for the ride-hailing segment. Thank you for dialing in and listening.
Operator: This will conclude today’s conference. You may disconnect your lines at this time, and logout your webcast, and have a wonderful day.